Operator: Good morning. This is the conference call operator. Welcome and thank you for joining the GTT Third Quarter 2025 Activity Update Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Philippe Berterottiere, Chairman of the Board and CEO of GTT. Please go ahead, sir.
Philippe Berterottière: Well, good morning, everybody. I'm very pleased to present to you the Q3 2025 activity update. I am with Thierry Hochoa, the CFO of the GTT Group and with the entire Investment Relations team. Well, year 2025 first 9 months have been quite impressive. First of all, the fundamentals are excellent with 84 million ton per annum already decided. The revenue are approaching EUR 600 million on the first 9 months, which represents an increase of 29% compared to last year. We obtained a fairly diverse orders with LNG carriers; ethane carriers; FLNG, LNG as a fuel. All that led us to upgrade our 2025 outlook when we include Danelec. On key highlights, we introduced a new technology for LNG as a fuel that we named CUBIQ. We obtained approval in principle from Bureau Veritas. We completed the acquisition of Danelec, and we obtained a quite large contract from the Chinese shipyard, Hudong-Zhonghua for 24 LNG carriers. We continue our innovation efforts with the new partnership with Bloom Energy and Ponant Exploration Group on a new system for zero-emission ships. And we obtained a contract for an electrolyzer in Slovakia for 1 megawatt. If we look at our order book, we've received orders, 19 orders in the first 6 -- 9 months. So not taking into account the order we received in October. So 267 LNG carriers, which are guaranteeing our activity in the next years, 22 ethane carriers, 3 FLNG and 3 FSRU. If we look at the market, we can see that the activity in terms of SPA, sales and purchase agreement, for LNG for the contracts path to liquefaction facilities have been very important in the second and third quarter of 2025, and that is very much supporting the decisions for further FIDs. In fact, in terms of FIDs, we can see that this year has been phenomenal. It's an all-time record with 84 million tons decided as of today. It's historic. And that means that the outlook for LNG demand for the next year is very strong. So it's the supportive trends for LNG and for energy carrier orders are very strong. But the geopolitical context remains quite complex. I would say we could talk about that at large. But I would say that the instability of regulations between the 2 sides of the Pacific Ocean are creating a kind of concern, still perplexing the decisions of shipowners. I do hope that the recent discussions are going to be able to clarify that. In any case, the LNG carrier order inflow is expected to increase, backed by a strong long-term fundamentals on which we talked just a moment ago. As far as LNG as a fuel is concerned, we can see that the adoption of this fuel structure is continuing to grow very significantly. It's a very good news, very good news for the planet, very good news for GTT, as this LNG at a certain point of time is going to be transported by LNG carriers and also very good news for LNG as an actor in LNG as a fuel. We can see our market share. We are trying to enlarge this market share in introducing new solutions. And we've introduced CUBIQ, which is a new tank design, which aims at enlarging the -- increasing the cargo space, the space left for the cargo, facilitating the installation, so reducing the cost of building the tank, reducing the boil-off and so improving the total cost of return of our solution for the owners. In our digital activity, we are scaling up our efforts in a EUR 1.25 billion market with the acquisition of Danelec that we've completed in end of July. We are in a fast-growing market, and we do expect to be able to benefit from this growth. We are in this market in -- our ambition is to benefit from recurring revenues, which will balance our other activities and to develop revenue synergies that we are targeting between EUR 25 million to EUR 30 million by 2030. So key achievements. Well, I would say that during these first 9 months, we've released a new generation of VDR. Well, that shows you that the innovation activity, constant innovation activity of Danelec is very much in phase with what we do at GTT. And it's why the integration is going to be very easy as we are on the same wavelength. We've obtained new contracts with a very significant contract obtained from Hudong-Zhonghua for 24 LNG carriers with our SloShield system developed for mitigating the sloshing risks and optimizing cargo operations. Now I hand the mic to Thierry Hochoa, the Group CFO, who is going to present to you the consolidated revenues.
Thierry Hochoa: Thank you, Philippe. Good morning, everyone. Now regarding our revenues for first 9 months of 2025. Revenues at EUR 600 million are up plus 29%, a strong increase compared to EUR 465 million for the first 9 months of 2024. Two main drivers to explain our revenue performance. The first driver is revenue from new builds standing at EUR 558 million, was up plus 30%, benefiting from a higher number of LNG and ethane carriers under construction. The second driver is linked to the digital activities at EUR 20 million was up plus 83% and including EUR 6.5 million of revenues of Danelec, our recent acquisition. Excluding Danelec, the digital revenue growth was plus 24% compared to last year. One comment on revenues from LNG as fuel. They are down by 32% at EUR 16 million and mainly explained by the strong competition. Regarding electrolyzers activities, revenue are down and stands at EUR 3.7 million for the first 9 months of 2025 compared to EUR 6.6 million for the first 9 months of 2024. This evolution is mainly due to the absence of contract in 2024 and the continuation of transition and repositioning of Elogen. Finally, revenues from services slightly decreased by 3% at EUR 18 million due to a lower level of reengineering studies, which are nonrecurring by nature, but offset by a robust certification activities. All in all, the activity of the first 9 months of 2025 remains very solid. I now back to Philippe for the outlook.
Philippe Berterottière: Yes. Thank you, Thierry. Well, on the back of a very strong core business performance and the integration of Danelec over 5 months period, we are upgrading our outlook, assuming no significant delays in ship construction schedules. For our revenues, instead of range between EUR 750 million to EUR 800 million, we have now an estimated range of EUR 790 million to EUR 820 million. For our EBITDA, instead of a range between EUR 490 million to EUR 540 million, we have a range now between EUR 530 million to EUR 550 million. And our payout ratio will be at least 80% of our consolidated net income. So now we are going to answer to your questions. So please.
Operator: [Operator Instructions] The first question is from Richard Dawson of Berenberg.
Richard Dawson: First one is just on the order outlook for new LNG carrier orders because clearly, very supportive trends with new LNG capacity being sanctioned this year, but we're still seeing a bit of hesitation from shipowners really to place those orders with shipyards. So just through your conversations with your customers, when do you expect an acceleration to start to come for those LNG carrier orders? And then maybe second question is just on shipyard capacity across Korea and China. Has this slowdown in LNG carrier orders this year put some of those -- some of that planned expansion on hold? Where are we sort of in total slots for this year?
Philippe Berterottière: Okay. Well, thank you very much for this question. I do agree with you about these hesitations. It's a perfect word for characterizing the current situation. In fact, the owners are weighing whether they should take the decision now. They are very much perplexed due to the instability in regulations. We had taxes on Chinese-built ships in the U.S. We don't have them anymore. We have taxes in China on ships, American ships. So they would like a more stable environment before taking decisions. Energy carriers are the most expensive commercial ships, and that's important investment decisions. So they are weighing the risks before taking these decisions. I can say that we have a lot of discussions with shipowners. They would like to move. They would like to know whether they can go to China. They would like to know what kind of competition they can benefit from between China and Korea. So that's considerations that for the time being, they are weighing. So when is it going to change? I think we may have orders in the last 2 months of this year. And I think that year 2026 will be significant in terms of ordering. And it goes back to your -- the second part of your question about slots. I don't think that there are many slots still available for building ships in shipyards for delivery in 2028. And so then it's in 2029. And I'm feeling that these slots are fairly far away for the needs that owners have. So there is going to be a kind of acceleration in the market. And your last question is the shipyard capacity. Well, the current flow of orders is not reducing the capacity of the yards as they are building. So the capacity out there as they are very -- this capacity are very active. And it's important for the shipyards to maintain these capacities. And it's why we can see some pricing, some prices, which are more aggressive than what they used to be. And I think it's a factor, which is going to help the acceleration in the order flow I was speaking about.
Operator: The next question is from Jean-Luc Romain of CIC Market Solutions.
Jean-Luc Romain: I have 2 questions, please. The first is about LNG as a fuel orders. We have seen several shipowners like CMA CGM and I think Evergreen, in Taiwan, ordering dual fuel vessels recently in Korea and China, not sure. Should it translate into orders for you? That's the first question. Second question is, as we are seeing a slowdown in order this year in new LNG carriers, should we expect a slowdown or stabilization of your new build sales in the next couple of years? Or should we expect those to decline a little? I'm speaking about the new build sales.
Philippe Berterottière: For LNG as a fuel, when we have not announced a contract, I cannot comment on the fact that the contract is going to be for us. We -- it's a market where we have a market share, where we are trying to enlarge our market share and where we are going to -- where we are improving our offering, our solutions in order to do so. So it's a market with high competition where we are fighting hard. On the slowdown of orders and the consequences it means for the years to come, well, I would say that we are giving you figures about our revenues for the next coming years. And I send you to your computations to your work for assuming what the turnover is going to be, what the results are going to be for the next years. I cannot further help you. We are giving you all the information about that. What I can say that we may -- we are not seeing any kind of cancellations in our order book nor we see particularly delays in delivery.
Operator: [Operator Instructions] The next question is from Henri Patricot of UBS.
Henri Patricot: Two questions from my side, please. The first one on the market. I was wondering if you can comment on what you see as the potential impact of the delay to the IMO net zero framework, both for the core business and maybe driving a slower replacement of the fleet. And secondly, in terms of the speed of adoption for LNG as fuel. And then secondly, on deliveries for this year, I believe, you targeted something close to 100 deliveries in the core business. Is that still the case? It implies quite an uptick in the fourth quarter.
Philippe Berterottière: Well, on the market for IMO, I think I hinted that in our last communication at the end of July for the first 6 months of the year. I was feeling that it was going too far, too quickly. And this -- the delay in the implementation of this regulation is not going to change the fundamental trend of the market for shipping, which is that shipping is switching to LNG. LNG is reducing the CO2 emissions and LNG is cheaper than other fuels. So cleaner and cheaper, it's 2 significant improvements. And whatever -- in spite of the delay of the IMO regulation implementation, there will be -- this evolution will continue. It's not going to cause a kind of slowdown, well, in the LNG carrier decisions as that is very much driven by the need for ships for new plants and also for replacement market. And there is clearly a need for replacing old ships, which are generating twice more CO2 than modern ships. And there are large parts of the world to begin with Europe, which are taxing CO2 emissions, heavily taxing CO2 emissions. So all these points are in place and are positive for LNG at large and positive for LNG as a fuel. On your second question, we expect to have still a strong activity in 2025. With compared to 2024, we had 66 orders; and up to now, we had in 2025, 58 orders. And we are going to have still a significant 58 deliveries. And of course, we are going to have still at the end, in the fourth quarter of this year, a very significant number of deliveries.
Operator: The next question is from Jamie Franklin of Jefferies.
Jamie Franklin: So firstly, just on LNG carriers. At the 1Q '25 update, you spoke to around 40 to 65 vessels still required for projects under construction. I just wanted to get a sense of how many of the orders that you've received in the last 6 months are for those under construction projects? And how many are for the newly FID projects this year, please? And then second question, just on Danelec. So the integration seems to be going well. Are you still actively pursuing new M&A opportunities now? Or are you waiting for the integration of Danelec to complete? And then if you are considering new opportunities, could we assume a similar size to Danelec?
Philippe Berterottière: Okay. On LNG carriers, we -- I have not noticed when we said 40 to 65, but it's a time ago. But definitely, the orders we received this year are for existing projects and so are decreasing this number of projects decided before year 2025. And we have not received orders for the 84 million ton per annum decided in 2025. These are for deliveries in 2029, 2030 and 2031. So it's this long-term perspective, which are going to be supported by these investment decisions. And still, we consider that there are ships, which are needed for the projects decided before 2025. On M&A and Danelec, yes, I confirm that the integration with Danelec is going well. We -- the priority for the time being is to continue very well this integration. It's the best guarantee that we are going to be able to obtain the synergies that we were talking about and also that we are going to be able to benefit from the growth of the sectors where we are operating. We are looking at M&A possibilities. Of course, we are not -- meanwhile, we are not becoming blind to what we could find on the market. But I will say that for the time being, there is no opportunities, which are making sense. But it's not because there is nothing that we are not looking at that, and it's not because we have a priority succeeding the integration that we are not looking at what could make sense, which is our priority #1.
Operator: The next question is from Kevin Roger of Kepler Cheuvreux.
Kevin Roger: Sorry for that one, but it's a kind of follow-up because you used to give us the net numbers in terms of how many vessels you were seeing for the project that were sanctioned or under construction. So just if you can follow up as a kind of magnitude, the 84 million tons of projects that have been sanctioned year-to-date in '25, how many vessels do you consider are needed to transport this LNG worldwide? Just a kind of magnitude with the data that you have provided before. And the second one on Elogen, it seems that the restructuring is almost completed. H1, you booked quite a large provision, almost EUR 50 million. Any sense on if you're going to use all those provisions or if a bit more is needed? So just a comment maybe on this provision and where you think you're going to end with the restructuring?
Philippe Berterottière: Okay. On the number of ships, what we can say on the 84 million tons per annum is that 17 million are not from Gulf of Mexico or Gulf of America, so to speak, to the rest of the world, where you have a very important shipping intensity and, in particular, as the Panama Canal is quite congested and where the shipping intensity is something like 2.3. In fact, I consider 67 million tons are from Gulf of Mexico to the rest of the world and the shipping intensity can be 2.3 or, let's say, 2 ships for a million ton, to be cautious. For the rest, the 17 million tonnes, you are on Mozambique to the rest of the world and the shipping intensity is probably 0.9 or 1 ship per million ton. So altogether, it's a very, very large number of ships. Let's say, without going to be too specific, far more than 100 ships to be ordered and probably something close or close to 150 -- around 150 ships ordered. As far Elogen is concerned, I'm going to hand the mic to Thierry.
Thierry Hochoa: Yes. Thank you, Philippe. Yes, you're right to mention that we booked at the end of H1 2025, EUR 40 million of cost to restructure this affiliate. It's -- you have all the costs here. We do not expect additional cost because in this cost, I remind you, we have the final [ halt ] of Vendôme Gigafactory and the write-off of this asset. And you have as well provision for the workforce reduction plan. So we do not expect additional cost at the end of this year for Elogen.
Operator: The next question is from Jean-Francois Granjon of ODDO BHF.
Jean-Francois Granjon: Two questions from my side. The first one, could you come back on the LNG as a fuel. You mentioned some more intensive competition. So could you give us more color about that? And what do you expect for you in terms of growth and trend for the development of this business? Do you expect some more delay or more time due to the more competition you mentioned? And the second question concern Danelec. You also mentioned some cross-selling and synergy -- synergies at EUR 25 million to EUR 30 million. So in which timing do you expect that? And could you give -- explain us more how we can -- you expect to reach such level of synergy -- revenue synergy in the coming years?
Philippe Berterottière: Okay. Thank you. Well, on energy as a fuel, we have competition from different containment technologies, which are called Type B or Type C and which are using a thick plate of stainless steel, which has to be welded in terms of operation, it can -- it's something, which is a bit complicated. But this technology has the merit to be very easy to install inside the ship. It can be lifted and pushed inside the ship. We -- which is very much liked by shipyards whenever they are quite busy. We need an installation in the ship, which is taking time and workmanship even though materials are far less expensive. We are existing in this market, and it's a fast-growing market. We are keeping on improving our solutions to better exist in this market. And you're going to see how we progress in this market in the years to come. As far as Danelec is concerned, we are planning synergies between EUR 25 million and EUR 30 million by 2030. And it's mainly obtained through cross-selling between the various activities of the various pools of Danelec. We had VPS, we had Ascenz Marorka, we have Danelec. And these 3 companies have a different portfolio of customers where we are going to try to sell the solutions of the others. That's basically where the synergies that we are going to try to obtain.
Operator: Mr. Berterottiere, this was the last question of over the phone.
Thierry Hochoa: Okay. Thank you. We do have one question coming from online from Jean-Philippe Desmartin at Edmond de Rothschild Asset Management. Succession planning of the CEO position at GTT, do you have an update to give?
Philippe Berterottière: Well, what I will say is that the Special Committee of the Board of Directors is working on that and a proper information will be given in due time. So if there is no other question, I would like to thank you for having attended this conference, and I hope to see you soon. Thank you very much.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones. Thank you.